Operator: Greetings, and welcome to Southwestern Energy Company First Quarter 2017 Earnings 2017 Teleconference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. In the interest of time, please limit yourself to two questions. Afterwards, you may feel free to re-queue for additional questions [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce Michael Hancock, Director of Investor Relations for Southwestern Energy Company.
Michael Hancock: Thank you, Doug. Good morning and thank you for joining us today. With me today, are Bill Way, our President and Chief Executive Officer; Craig Owen, our Chief Financial Officer; Randy Curry, our Senior Vice President of Midstream; Jack Bergeron, our Senior Vice President of Operations; and Paul Geiger, Senior Vice President of Corporate Development. If you've not received a copy of last night’s press releases regarding our fourth quarter 2017 financial and operating results, you can find a copy on our website at swn.com. Also, I’d like to point out that many of the comments during this teleconference are forward-looking statements that involve risks and uncertainties affecting outcomes. Many of these are beyond our control and are discussed in more detail in the risk factors and the forward-looking statements sections of our annual and quarterly filings with the Securities and Exchange Commission. Although, we believe the expectations expressed are based on reasonable assumptions, they are not guarantees of future performance, and actual results or developments may differ materially. We may also refer to some non-GAAP financial measures, which help facilitate comparisons across periods and with peers. For any non-GAAP measures we use, a reconciliation to the nearest corresponding GAAP measure can be found in our earnings release available on our Web site. I’ll now turn the call over to Bill Way to discuss our recent activity.
Bill Way: Thanks, Michael. Good morning everyone and thanks for joining us this morning. It’s great to be here today to discuss our first quarter activity and a number of exciting accomplishments that our highly talented team of people across the country have delivered across our business. Building on the terrific momentum we achieved last year, we continue to combine rigorous capital discipline, innovation and operational excellence to deliver substantial value for our shareholders. As you saw in last night's press release, we returned a value adding production growth this quarter, including an impressive exit rate growth of 12% from December 2016 from the Appalachia Basin where over 85% of our annual E&P capital will be invested this year. In fact, the first quarter delivered overall sequential production growth for the company, from our large production base for the first time since late 2015 and we expect to continue to build momentum throughout the year, setting up the opportunity for solid growth trajectory into 2018. The improved commodity prices and our continued strong well performance, have driven a near doubling of our proved reserves to over 10 TCF equivalent during the first quarter of 2017, with a PV-10 of reserves estimated to be approximately $3 billion. About two thirds of our proved reserves are associated with our Appalachia acreage. While this is a considerable increase from our year end reserves, we believe we are early in our understanding of the full resource potential, especially in southwest Appalachia where we estimate there's approximately 45 TCF of net recoverable resource in our acreage. With the operational progress made to date since we took over the Southwest Appalachia asset, the resource potential could rise even more as we find additional efficiencies and the resulting productivity gains are realized. The last time we had over 10 TCF of proved reserves was in 2014 when natural gas prices were $4.35 per MCF and oil prices were $91.48 per barrel. This clearly demonstrates the resiliency and potential of our vast and upgrade portfolio. As a reminder, our financial statements have reflected the declining value in reserves each quarter through drilling test impairments, as commodity prices had weakened. Due to the dramatic change in reserve quantities since our last call, we felt it was important information and provided this one time off cycle update to the investment community. We view reserve disclosure as an annual activity that we do at the end of the year and we’ll maintain that annual practice going forward. In addition to the operational achievements being realized, the company is also seeing the benefits of strengthening macro environment. Despite another record warm winter, the storage season ended at just over two TCF, approximately 427 BCF below last year's levels. The primary drivers are new structural demand from increased exports of approximately 2.3 BCF per day and lower year on year production of approximately 1.8 BCF a day. And the effects of the strength in commodity prices is being enhanced even further, with progress being made on infrastructure projects in the Appalachia Basin. Progress being made on Rover and other projects in the region, have driven significant improvements in the forward basis curve. For example, Dominion South basis for the May to October timeframe, has improved by approximately $0.70 since the end of last year. As a reminder, approximately 80% of our Northeast Appalachia volumes are priced off Dominion South and TETCO M3, which are both seeing tremendous benefits from the positive pricing environment. When the improvements are coupled with the improvements being realized in Southwest Appalachia, our first quarter discount to NIMEX, including transportation in the Appalachia Basin, improved from the first quarter of 2016 by almost 40% to $0.43 per MCF. These improved differentials are expected to continue throughout the year and we are narrowing our discount to NIMEX guidance to $0.80 to $0.90 per MCF. This lowers the top end of the differential guidance by $0.06 per MCF, increasing expected cash flow for the year. As you saw in our release, we have numerous other operational achievements in the quarter, with some of the potential and excitement we have discussed in the last few calls, now coming through in well results. Jack will discuss these in detail in a few moments, but I want to mention one other accomplishment that we're particularly proud of. We recently became freshwater neutral in each of the three major areas we operate. This means that we now offset 100% of the volume of fresh water we use in our operations, through a reduction in fresh water consumption, combined with conservation efforts to replenish fresh water to the areas where we work and live. We were able to accomplish this while having these projects face the same rigorous 1.3 PVI hurdle that our drilling and completion activities do. As an industry leader in sustainability, we pride ourselves in efforts such as these and view them as an integral part of our ongoing operations. It’s just who we are. Water is a precious commodity and our actions prove that we are committed to being a contributor to the water cycle and not a disruptor. so with the strong operational start we've had this year, combined with the strength in balance sheet and improved commodity price environment, 2017 is shaping up to deliver exactly what we had in mind as we redesigned the company in 2016, sustainable, long term differentiating value growth for shareholders. Let me turn over to Craig to discuss some of the financial highlights.
Craig Owen: Thanks, Bill and good morning everyone. As you saw in last night's release, in addition to the strong operational start we had for the year, we also had a very strong first quarter financially. Our returned activity in the second half of 2016 focused on corporate level returns, combined with improving margins, is becoming visible in our financial results. We returned to generating GAAP net income and reported adjusted net income of $0.18 per diluted share. We also generated $318 million of net cash flow in the quarter, compared to capital investments of $290 million. The first quarter of 2017 saw margin expansion across the portfolio. Cost continued to be optimized as LOE once again came in below our guidance, while G&A expense came in near the bottom of our guidance range. On the revenue side, improvement was seen in natural gas, with realized prices improving 74% to $2.57 per MCF, including the impacts of hedging. And significant improvement was also seen in NGL pricing. Our realized C3 plus NGL prices were $30.91 per barrel for the quarter, up 130% from $13.43 per barrel in the first quarter of 2016. Our total NLG barrel realization after transportation charges was $13.28 per barrel, up 167% compared to $4.98 per barrel in the first quarter of 2016. Our focus on the wet gas window in southwest Appalachia, continues to extract incremental value from liquids, helping drive strong and improving margins and returns. And as a reminder, each $2.60 per barrel increase in realized NGL prices, reduces the breakeven gas price by $0.50 and generate incremental cash flow of approximately $35 per year. Yesterday we announced we are calling our outstanding 2018 bonds, which further strengthens our liquidity and credit profile. All that remains due between now and 2020 is $40 million in bonds due in the fourth quarter of this year, which we plan to retire at maturity. The combination of these 2017 retirements will decrease debt by about $315 million in total, lowering our total debt to approximately $4.3 billion. we ended the quarter with $3.2 billion in net debt and will continue to look to opportunistically delever as we move forward or excuse me, move toward our longer term goal of net debt to EBITDA of less than two times. As of March 31, we had a cash balance of $1.4 billion and revolving credit facility capacity of $800 million, of which $327 million was utilized for outstanding letters of credit. As we have mentioned previously, our hedging strategy is a key component of ensuring that we achieve targeted returns for our investors, while also protecting the balance sheet. We continue to make progress on our hedging positions, adding additional protection to 2018 and 2019 since our last call. In addition to the 429 BCF, our remaining 2017 gas production hedged, we also have 336 BCF and 99 BCF of our 2018 and 2019 gas production hedged respectively. Our 2018 and 2019 positions are predominantly collars at this time, in order to retain upside exposure to potential improvements in commodity prices. I will now turn it over to Jack for an operational update.
Jack Bergeron: Thanks Craig and good morning everyone. In the first quarter, we invested approximately $283 million in our E&P business and returned value adding growth, with total net production of 204 BCF equivalent. Production from our Appalachian Basin totaled 123 BCF equivalent. In northeast Appalachia, we continue to see strong results from the completion and optimized flow back changes being implemented. To date, we’ve placed 39 wells to sales, with cumulative production outperforming offsets by approximately 130% in the first 150 days. While obviously there’s value being created in accelerating production, we also now believe there's an uplift in our EUR on these wells. On average, based on early data observed in these wells, we believe these changes are improving the average EUR by more than 25% compared to historical well results in Susquehanna County. An example of this in our core area that previously had a EUR of 11 to 12 BCF per well, now looks more like a 15 BCF per well with our new completions. And we're not done yet as we are continuing to test additional ways to improve our well performance. Our successes in Northeast Appalachia acreage have continued, with more positive delineation results. In the first quarter, we placed seven delineation wells to sales in Tioga, Wyoming and Susquehanna County, all exhibiting productivity that delivers returns greater than our 1.3 PVI hurdle. In Tioga, we placed two wells to sales with an average lateral length of approximately 6700 feet and an average 30 day rate of 13 million cubic feet per day per well. These wells are expected to improve as compression is added later in the year. Also, in Susquehanna County, we placed two wells to sales in the acreage that we previously acquired in early 2015. These wells are outperforming the offsets by over 100% and had an average 30 day rate of 15 million cubic feet per day per well. These are the successful results in each of these areas. We have derisked approximately 40,000 net acres and plan to continue delineation efforts throughout this year. Moving to Southwest Appalachia, we're continuing our early testing that was accelerated from 2018 on our first Utica well, the OE Burge. This well is currently flowing at a flat rate of 17 million cubic feet per day, with over 8,500 PSI of pressure. Based on our current assumptions, early results indicate this well is a top quartile well in the region, with an average EUR of 2.5 to 3 BCF per one thousand feet of lateral. This type of productivity shows the potential of the enormous resource this play and our estimated 1,400 locations. Also, we recently placed five wells online that tested tighter stage phasing and increased profit loading. Four of these wells were completed utilizing 140 foot stage phasing and 3,500 pounds of profit per foot, while one additional well was completed utilizing as much as 5,000 pounds per foot of profit. Early indications shows that all five of these wells are performing better than their closest offsets. And to date, these five test wells have performed similarly and we will continue to monitor these wells to determine their long term performance enhancements. Moving on to Fayetteville, which has direct access to the premium Gulf Coast markets. We brought on a seven well Moorefield pad to sales in March, with an average lateral length of 6,442 feet, an average initial production rate of 6.8 million cubic feet of gas per day, and then estimated - they have an estimated EUR of 6.5 BCF per well, exceeding our expectations. These results confirm the productivity of the targeted zone we have in the Moorefield and demonstrate this zone’s potential to compete for capital within our portfolio. We plan to place an additional eight Moorefield wells to sales throughout 2017 to further delineate that play. And this will further understanding - enhance our understanding of the aerial extent of this reservoir. This concludes our prepared remarks. We’ll now turn it back to the operator who will explain the procedure for asking questions.
Operator: [Operator Instructions]. Our first question comes from the line of Subash Chandra from Guggenheim. Please proceed your question.
Subash Chandra: Good morning, Bill. Two questions for me. The first is when I look at the - some of the initial successes, Utica, Moorefield delineation, could you characterize sort of what innings you are in that process? So how influential it might be to 2017 development versus in the outer years. And then a second question is, with some of these highlights on the drilling front, but then with a goal towards delevering, how you might view acceleration versus debt reduction over the next several years ahead of your 2020 maturity. Thanks.
Bill Way: Okay, great. Good morning and thanks for your questions. When you take a look at the Moorefield and we've talked about this before, we have derisked for this current program 15,000, 20,000 acres out of what could have an aerial extent as much as 100,000 or more acres. And so our focus going forward from here, as Jack said, is to put - invest in another eight wells across the remainder of that acreage to test the same concepts that we have done so far, but in a broader aerial extent to try to derisk that. when you take a look at the economics of those wells, and again this is the first test - series of tests into that, I expect that they compete quite well in the portfolio and our objective would be to further improve them, use some of the techniques that we've used in some of the other areas of the company as we as we derisk to improve them further. So I think it’s early days, but look we’re - relative to Utica, we’re a little bit further along because we have a pad running and there's eight wells running and we have the production history. In the Utica area that covers a good portion of our acreage in the West Virginia area and southwest Pennsylvania area, as the first focus of Utica, we've got our first well flowing and we're very, very excited about it and we're excited enough about it to put a second one in the drilling program, which is well underway. I mean the drilling has progressed and Jack can comment on where we are on that. but we'll get that well done, drilled and then completed as we move through the year, get it flowing and analyze it in the exact same way that we've done this first one, which is take our time, make sure we understand what’s really going on, substantive analysis around potential and then go from there. We have a couple of other wells that are in the sort of near term program around Utica, but we've got two things to do. One, get a second one going, get an understanding of it, look at - and see where we want to test next. And two, always have a mindful eye on the well cost and what we want to do and when we want to do it in terms of taking some of the cost out. you'll recall with our first well in the Utica or even a second or a third, we're going to put quite a bit of science investment into these so that we - pilot holes and lots of other testing that goes on, to get the maximum amount of data. But we're already looking at what does it take and how do we - to shift from there. The Utica - we're fortunate we have a lot of data points all around us as well. So it gives us even more confidence. But I would say, Utica is even a bit earlier inning because we have basically one well that is flowing, but we're marching forward in a methodical risk managed way to address that. So stay tuned. Our actions will speak fairly loudly as we work and add well after well into the program.
Craig Owen: And Subash, on your second question on acceleration, certainly we look to delever over time, both absolute and through the metric. We announced again yesterday that we’ll delever some absolute with our 2018 - call of 2018 bonds. But we’ll kind of manage that over time. We have plenty of opportunity. obviously be return focused in that every decision made on incremental cash flow, whether it's through acceleration or whatnot is - goes through the filter of what return does it provide within a risk profile. So we'll continue to be opportunistic on delevering and kind of look for opportunities, but again focused on returns and acceptable risk profile and again improving on our ramp. Our debt to EBITDA, we talked about a long term goal of being less than two on that over time. So creating value and returns focused on any incremental decision on investing with excess cash flow otherwise.
Operator: Our next question comes from the line of Charles Meade with Johnson Rice. Please proceed with your question.
Charles Meade: Good morning, Bill and to the rest of your team there. I was wondering if we could dig or I could try to dig a little bit more into the Moorefield share result. It looks pretty encouraging. I was almost thinking about making a joke that perhaps the most important rate is the one you didn't give us, which is the water rate with those wells, because as I understood it, that was really the key technical hurdle. So could you give a little color on that and whether you feel like you've solved that issue and whether you - how close you are to moving ahead with large scale development?
Bill Way: Let me hand that one to Jack. Go ahead, Jack.
Jack Bergeron: Charles, the results of these wells have been very positive on a water basis. We are actually slightly less than 50% of the water of what the previous wells were. That is through 30 days. So we're very encouraged. We’re not stopping there. We’re containing a look at the different ways of technology on our additional wells and improve landing, which that’s what the main part here was to actually lower that even more and improve the economics. And that's a big part. We talk like set about the encouraging EURs, that the water is very integral to our economics. So yes, we're very encouraged there as well.
Bill Way: If you - in its simplest form, if you know there's water and you stay away from it and don’t hit it, you're likely to get less back. That’s effectively what we’ve done.
Charles Meade: Got it. That’s helpful color, particularly that it's less than 50% of what you were seeing previously. And then if I could ask another question. On your southwest Appalachia completion and that you haven't seen any difference between the 100 and the 140 foot stage basin. Have you - it was not clear. Have you seen any difference between the 3,500 and the 5,000 pound per sand loading? And I recognize that there's not going to be a bright line over which you cross and you can say, well there is difference or there's not. But what kind of timeline should we be thinking about for a verdict from you guys on whether the incremental cost of the 5,000 pounds of sand per foot is worthwhile?
Jack Bergeron: Well, at this point they are performing very similarly and that's why we take a wait and see approach. In the long term we may see incremental value out of the 5,000. The other thing is the economics of it. We’re taking a look at that, but we’re early in the - usually after six months, we'll have a very good call on whether there's incremental to the 5,000. The 3,500 do look better than the 2,000. So our goal was to actually write the model. We don't know that we have, but we're continuing to monitor it.
Bill Way: We purposely planned this to ramp up technically and get the sand placed as the prime driver, get the results on a few wells and then optimize economically around that. And so it's a good data point. The majority of the next series of wells will be probably in the 3,500 pound range because we know that one's got a great data point, while we wait for some additional data on this one. But we're able to get 5,000. We haven't declared it a limit yet economically. We just need a little more time.
Jack Bergeron: And furthermore, on all these wells in southwest Appalachia, we tend to - because of the liquids rich environment, we tend to control their production rate and their drawdown. So that's why it takes a little bit longer to find out if 5,000 is differential from 3,500.
Operator: Our next question comes from the line of Arun Jayaram from JPMorgan. Please proceed with your question.
Arun Jayaram: Good morning. Bill, signs of some really interesting kind of well productivity gains kind of throughout the portfolio. I was wondering if you can maybe give us a sense of how much of these well productivity improvements had you factored into your 2017 guide of around 900 BCF fee at the midpoint. And what are some potential upside risks as we think about 2017?
Bill Way: I think that we have put a lot of these into our program, because we've been working on them now for the better part of this year or this year and a bunch of last year. And so a lot of that is included in there. I think well mix, well opportunities that we have as a result of the flexibility of our program, are continuously analyzed and where we see opportunities to improve on the plan, we're able to shift fairly quickly. And the reason for that is of course you know that we've got our vertical integration capabilities that puts us kind of in charge of the order in which we do things. So stay tuned and as we work through more and more of these - we're getting some rather incredible results, even surpassing some of our P10 expectations. And so most of it we put in the plan.
Arun Jayaram: Okay, thank you for that. My second question is, as you think about 2018, you guys have been drawing down on some ducks, just during 2016 just as a period where you were drilling as much as you are today. How does that - as we’re thinking about 2017 going in to 2018, is 2017 a year where you have to maybe build up some ducks in order to get the operating momentum as we think about next year?
Bill Way: Yes. Our operating momentum is probably not as - we manage duck inventory for efficiency sake. That’s the prime driver. We don't stack up at the end of the year so we can get a running start on the next year. We've got a continuous 24 hour business and it’s segmented into quarters and years so that - those have data points attached to them. But we will - our guidance around 55 to 65 ducks by the end of the year is - we're still good with that. I think the thing that we did this year was trimmed down on the Fayetteville ducks because we weren’t going to have as much activity, because we're focused on the Moorefield and so you don't need them for efficiency’s sake. So I think that our plans are solid at these numbers. Ducks will fluctuate and probably plus or minus 10 or 20 at the most fluctuate by location, depending on where the activity is. So it's just how we stay efficient.
Arun Jayaram: Okay. Thanks a lot.
Bill Way: When you’re running your own rigs and your own frac plates and all that, you want efficient/
Arun Jayaram: Great. Thanks a lot.
Operator: Our next question comes from the line of Dan McSpirit from BMO Capital. Please proceed with your question.
Dan McSpirit: Thank you, folks. Good morning. If we could revisit the balance sheet question that was previously asked at the top of the call, what does an improvement in capital efficiency mean for the cash flow out spend on your model? That is do you see company needing to pull less cash off the balance sheet to fill the gap than previously anticipated? And what are your current thoughts on where leverage will sit at yearend 2017 and 2018 assuming strip pricing?
Craig Owen: Dan, I'll start on that. As we guided beginning of the year, we had $200 million in cash coming into the year left over from our equity raise. So capital efficiency, we continue to work through that and we’ve talked about it quite a bit. But we also spoke at yearend about increased service costs, increasing well costs in our plan, roughly 5% to 10% back into the year weighted. So it wasn't a significant driver, but it was - some inflation was part and parcel with our plan. Now, kind of what our leverage would look like at the end of this year, from an absolute perspective, I think with the announcements we made last night, I think you can probably get there with absolute debt levels coming down with the call of those 2018 bonds and retirement of 2017. From a metric perspective, just assuming strip prices for the rest of the year today, certainly we'd be in the - well into twos on the leverage ratio. So not quite probably 2.5, but somewhere 2.5 and three, just kind of depending on what your model looks like. So we'll continue to look for opportunities there and as we continue to obviously grow throughout the year, that gets better on a trailing 12 months basis.
Dan McSpirit: Got it. Appreciate it. And as a follow up to that if I could. Based on the Moorefield success as well as that achieving this elsewhere in the program with enhanced completions, and like how do you now rank the individual assets by field level of return or breakeven price?
Bill Way: Well, in general, our northeast Appalachia assets, we have some core and we have some areas we’ve delineated. Our goal has been to prove up additional cores and we think we have. And so they tend to - at current prices and cost, bring the highest return. Southwest Appalachia is right behind them. Fayetteville has been lagging, but the Moorefield has brought these things back up to where we have an inventory there now that doe compete in our portfolio. A lot of it has to do with liquids prices. Southwest Appalachia is going to be as liquid prices continue to improve the returns there.
Craig Owen: We set out to reinvent ourselves from a $4 gas company to a $2.75 to $3 gas company. We have locations in all three areas that work in that range, well in that range and in fact we have more opportunities than we have current cash flow capital. And therefore they’ll continue to kind of compete with each other for that. That’s not a bad thing, because then the margin improvements will go along in the business by division, cross collaboration from the divisions, are yielding even greater and greater returns. So we’ll keep investing in that way.
Dan McSpirit: Very good. Thank you. Have a great day. Thank you.
Operator: And our next question comes from the line of Tim Rezvan from Mizuho. Please proceed with your question.
Tim Rezvan: Good morning folks. I wanted to follow up a little bit on what Dan was talking about just to clarify. With the leverage outlook looking a little bit better, I guess is it safe to say that your prior EBIDTA guidance of around $1.2 billion, that you feel pretty comfortable about kind of being at or above the midpoint there?
Bill Way: Yes. Tim, I think that was based on when we came out in February - that was based on a 325 total year NIMEX average. Certainly NIMEX is currently looking north of that, but we don't know yet obviously. We get more and more comfort with that as we move throughout the year and months settle. But as NIMEX is about three and a quarter, yes, I think you can expect cash flow to follow it.
Tim Rezvan: Okay. Thank you. The operations questions I had were addressed, but on the differential side, very strong start to the year. You did update full year guidance, but it was I guess not surprising the conservative amendment given where we are in the year. But can you reconcile the 1Q differential versus the modest change to the full year outlook?
Randy Curry: Yes. Tim, this is Randy. The full year outlook still has a component of timing built into it on the new export capacity that's coming online. So the lower end of that range would indicate some mid-year timing on the first phase of Rover. And if that slips, then there could be some impacts there or some delayed impacts to further improvement in basis. That would be the way I would try to characterize that for you.
Tim Rezvan: Okay, that's helpful. Thank you.
Operator: Our next question comes from the line of Scott Hanold from RBC. Please proceed with your question.
Scott Hanold: Thanks. Good morning. You all had a lot of well catalysts this quarter and there's a lot going on and frankly a lot of success. in big picture, could you give us a sense then, when you step back and look at your goal of having an inventory obviously that’s very economic between 2.75, 3.25. You also made a statement you have obviously more projects than capital. What is the grand plan of like testing things like a Moorefield and Utica? at the end of the day, how are you going to prioritize your opportunities and what are you going to do with the assets that may not be able to compete or be part of that over the next several years?
Bill Way: This is Bill. Our focus is clearly on returns as we do capital allocation, as we do projects within a division that are not capital oriented. They’re cost oriented, same kind of thing. It’s all prioritized on returns. There’s a balance between testing new and emerging concepts with development drilling and completions and all of the marketing activity that goes with that to generate cash flow. And that balance is done on a risk adjusted basis, where we take a look at where we are in the pace of learning. So if you're drilling your first well, you're going to get that going and completed and started on the second one and get that going and completed before you dive off into a rapid development. In the areas where you prove up some acreage and you get some confidence in there, you may go a little bit faster so that you can prove it up. So the balance of the year in Moorefield to get 100,000 acres proved up, seven more wells at that well cost, that it's got to be part of the plan that we're looking at. Utica, first well, early results really, really good. Second well drilling much more expensive wells and in a earlier development area we’ll go a little bit slower, but we'll go methodically through there. The second thing that we try to do is pull value forward either by leveraging these learnings and spreading them across the company, whether they're operational or technical advances and doing that as rapidly and prudently as we can. And we manage them as - the business as a portfolio. So that is happening and the pace of that is happening faster. On the commercial development side, looking at options around how do we optimize the cost structure, so we've done renegotiations of contracts. We’ve done raising - making the pie bigger between us and somebody we have a contract with so that we both can win, but we end up with a lower cost out of it or a longer term or both. The opportunity to bring value forward with partners or with - and in helping us derisk a play that we might be in or not. Looking for opportunities on an incremental basis to upgrade our portfolio, either through optimization of the inventory and optimization of the order of projecting or attacking that inventory, or through some kind of commercial means, that again somebody can bring to the table that can help derisk a well or a testing program or a little portion of acreage, is always part of that answer.
Scott Hanold: Okay. No, that …
Bill Way: Go ahead.
Jack Bergeron: To add a little bit to that, the things we did in our Susquehanna acreage, we've taken inventory that previously wasn't competitive and through our completion improvements, have made it competitive, and that's the other thing. We’re trying to do everything that - on the inventory that you would say would be lagging. We’re working on how we can make the wells better and improve the value we're generating there.
Scott Hanold: Yes. That’s great. and it looks like a lot of these initiatives are working and I guess my big picture question is, by the end of 2017, early 2018, it seems like we're going to have a pretty good understanding of the progress and where a lot of these things stack up. And in those things that may not stack up and - it seems like the Fayetteville has always been the poster child of something that’s sort of at the bottom of the rung in terms of what can compete on new drills. What do you do with that inventory? Are you happy just saving it for the next thing and looking at further improving it over time? Or could there be a round of all right, what doesn’t make sense? Should we selling off the assets to accelerate value of what we really think is most important?
Bill Way: And as I said earlier, I think our approach to that at this point and going forward is, under the umbrella of commercial development, how do we extract more value out of that acreage, whether that is through some kind of a partnering or commercial arrangement, whether that's through some kind of restructuring of agreements with our providers such as our downstream gathering, long haul transporting of those to drive that value up. We want to do that. We have a number of benches we're testing in the Fayetteville, whether it's Moorefield or some of the other layers of Fayetteville and a lot of acreage to look at. And so I would caution one year or one view that in today's world with liquids being where they are, that suddenly 900,000 acres of a massive play should be tossed out. We don't believe that. We think that - nor do we believe that you just let it sit idly by. and there's a lot of people that are doing a heck of a lot of things, including Moorefield and some of the other things we've talked about, to drive improvement in that business. And we're seeing signs of that happening. And so that's encouraging to us. And 6.5 million a day wells with the cost structure that we have there are pretty solid wells and that excites us. So are there commercial opportunities that allow us to continue to enjoy the cash flow and the strategic nature of that asset and bring competitive activity to it at the same time? We believe so and we're working on those. And we'll bring them to you when we get them. It’s important too that we do that and as we work through that, we'll lay them out.
Operator: Our next question comes from the line of Brian Singer with Goldman Sachs. Please proceed with your question.
Brian Singer: Thank you. Good morning. Can you talk to the cost inflation outlook that you're seeing here and how the trajectory of your CapEx looks through the year relative to first quarter levels?
Bill Way: When we look at cost increases that we have built into this year, we're somewhere between seven and eight in northeast assets and a little bit lower than that in the Fayetteville. We're mitigated - we have a bit of a mitigation against the double digit numbers, because of our vertical integration. We drill all our own wells. We are restarting our frac fleet equipment because there's cost pressures on that side. We will always have third party suppliers with us. We really enjoy the arrangements that we have with our - and service we get provided by those. But we are relentlessly looking at how to drive that down. And we have our own sand plants and the Fayetteville, the Moorefield wells are all being supplied with sand. So I think that there's benefit to that. So we're a bit mitigated. Capital, relatively smooth second quarter to fourth quarter from here. So we've built in those numbers, high single digits into our system. We have some legacy contracts that are - they will roll off eventually, but continue to help with that as well. Longer term, I think the commodity price and activity levels and all of that will come to play and we will relentlessly go after trying to figure out how we mitigate that. But have the services that make sense and that get the quality of work that we need done to deliver these results.
Brian Singer: And then the $340 million from the first quarter, that would look like you're kind of ahead of the pace for 1.225. Bill, could you just comment on the rest of the year look.
Michael Hancock: Brian, this is Michael. The $340 million is really cash flow, right? $390 million was really the capital incurred for the first quarter. Some of that is just timing of invoices that come over from fourth quarter. So the number - the guidance number is really just a CapEx number. The 290 would be the equivalent.
Craig Owen: And we will be within our cash flow plus the 200 that we've - from the equity raise last year. That will happen.
Operator: Our next question comes from the line of Drew Venker with Morgan Stanley. Please proceed with your question.
Drew Venker: Morning everyone. You had some really good results. I want to just dig in on the delineation drilling you did in Northeast PA. I think a few of those areas were places where you were less optimistic in the past from results and these are good. So I’m probably just curious how much inventory you have in your identified count that you published from Western Susquehanna and Tioga and Wyoming Counties.
Bill Way: Well, now Tioga, that was first sales. That’s the first wells that we'd ever brought sales entire that we drove one a few years ago. But we actually established sales, putting in the infrastructure. Total inventory there would be somewhere between 60 and 80 wells currently that we can do. In the Susquehanna, it's - and again, that's total inventory that could happen in Tioga. In Susquehanna, the acreage there, we have only drilled two. We’re going to delineate with several more, but there are 30 to 40 wells that could be drilled there pretty easily. We also announced our Wyoming County, which we have a smaller acreage, but very good results there and are continuing to develop that.
Drew Venker: And would all those be incremental towards the inventory account that you’ve laid out before?
Craig Owen: No. A lot of those are included in there. What you're really doing, this focus with the results you’re seeing, sand things kind of move down the price bucket. You might have had one in one bucket. As you prove up, derisk this, it probably moves down a bit into a lower price bucket.
Bill Way: Yes. In Tioga County for example, part of it was uncertainty because we hadn't tested it. So it's not - we went - early test results were bad because we hadn’t tested it. So now we have. The other drive for Tioga County was we didn't have a gathering arrangement. We got one last year, then we had to wait - we did a lot of pre-investment for timing. Well, now that gathering arrangement is closer to or is now a reality. So the time from when you finish a well to getting it online and actually earning a return is the important piece, but efficiency and margin. So as we get those systems online and going, you can move at it faster. And then we'll continue to test these and where we can add further inventory that competes or that meets the criteria we needed to meet, we'll do that. And again, early into Wyoming, Sullivan early and (indiscernible) even into Tioga. And so we've identified some, but we're going to keep going. And then you look at the benches that are in there and none of that bench activity has been done. Therefore it's not in the inventory. And so there's a potential upside for that in all three of our areas.
Drew Venker: Just want to follow up on that, just on the improved well performance you’ve seen really across the whole portfolio. And you guys show some great sensitivities for drilling inventory at different prices. And I don't think they've been updated that recently. So I’m just curious if they reflect - particularly like a $3 gas price, reflect the recent improvement in well performance in northeast PA and southwest PA.
Craig Owen: Yes. We updated those in the last deck that came out. We kind of update those annually and that one, the one that came out first quarter was updated.
Bill Way: And Drew, I think what you'll see, and Michael referred to this earlier, the challenge is, what we're really trying to do is push our inventory lower on the break-even of the cost curve and that’s kind of what you're seeing. So over time I'd expect to continue to see that migration with continued results like we're seeing this quarter.
Operator: Our next question comes from the line of Holly Stewart with Scotia Howard Weil. Please proceed with your question.
Holly Stewart: Morning gentlemen. Most of my questions have been asked and answered, but maybe just, Bill on the Fayetteville. I know you’ve talked about before kind of needing a multiple rig program in order to sustain or grow production at Fayetteville, and realizing it’s very early days in the Moorefield. But I guess in these terms, how do you think about kind of overall Fayetteville production there? Could we stem the decline with a one rig program potentially?
Bill Way: No. I think probably it’s close to - where it sits today on the decline curve, it's probably closer to three rig to keep it flat. And so when you take that concept and you're thinking about, so from a commercial development perspective and structuring some of the cost, looking at how to reduce it, those kinds of things. We try - you’d put that in your head as a beginning benchmark. Anything beyond that I think you end up getting in that capital competition for returns bucket. So I think that might be a little further away. But I think we think it’s that free.
Holly Stewart: Okay. And then maybe just on the guidance. I mean a very good start to the year and I know it’s early days, but any thought in and kind of the guidance from an EBITDA perspective. It looks like consistency is above the guidance range. Is it just too early to tweak that?
Bill Way: Holly, what we try to do at year end is provide guidance of kind of a VIN strip price and provide sensitivities off of that. So I just kind of refer everyone to kind of that sensitivity and all that. As we mentioned earlier, obviously a big hedge position, roughly 70% or so hedged on the gas production side. So we’re somewhat mitigated to movement of prices, but they still obviously do move quite a bit with the improved back end of the year. So more to come on that.
Operator: Our next question comes from the line of Kashy Harrison with Simmons & Company. Please proceed with your question.
Kashy Harrison: Good morning everyone. Jack, could you help us quantify the level of outperformance on the southwest PA wells employing 3,500 pounds per foot of propane compared to their 2,000 pounds per foot offset?
Jack Bergeron: Well, at this point the productivity is slightly higher, but the pressure, the draw down is less at this point from what we got.
Kashy Harrison: Got it. That was all I got.
Operator: Our next question comes from the line of Marshall Carver from Heikkinen Energy Advisors. Please proceed with your question.
Marshall Carver: Yes. Just one question on the Moorefield. It looks like most of those wells are off of one pad. Do you have any feel for spacing in the play and you talk about 20,000 acres being prospective or being derisked out of the 100,000 that are prospective. How many locations would you say you’re derisked?
Bill Way: We’ve derisked about 15,000 or acres out of the 100,000 acres. We did all of that on a single or virtually a single pad, trying to get some efficiencies and in the space. I think we’ve got 1,000 foot spacing on the Moorefield right now. And I think we’ll continue to kind of look at that as kind of the test case as we go out and do this next seven or eight wells across the full acreage to try to prove up the remainder. I mean that’s our strategic objective is trying to do that. You could go as low as 600 feet. But we’ll optimize as we prove up the acreage. I think the focus right now is to prove up the acreage and then optimize later based on a set of assumptions. So well placement would be important for spacing on a pad but optimization will come as we get more confidence. The completion techniques that we have that we're testing, doing them in consistent geology so that you're not changing too many variables at once, which is kind of a difficult challenge. There’s rationale for doing a single pad to focus on that. It is an optimization exercise and you have different choices when you do that. But since we have all these learnings, it makes sense to do that. But stay tuned on that. We’ll spread out across the acreage from here.
Marshall Carver: That’s helpful. Thank you. And were those first wells in a - I imagine those were in a particularly prospective area or do you feel like future wells are also in an area that geologically looks about as good as this first area?
Jack Bergeron: Well, geologically they all look prospective. This is an area that was actually close to where - we weren't trying to - we were trying to test our completion techniques as Bill just mentioned, with a consistent geology in a more known area. It was closer to where we have other Moorefield and we're also testing the landing and try and avoid the water that has been a problem on some of the wells. We think we've successfully done that to the point we're very encouraged at this point.
Marshall Carver: Thank you very much.
Operator: Our next question comes from the line of Biju Perincheril from Susquehanna. Please proceed with your question.
Biju Perincheril: Thanks. Good morning. Most have been asked, but a couple of quick questions. So Bill, in the area that you have delineated or derisked in the Moorefield, what are the next steps before you can move it to development there? Do you need additional infrastructure for water handling or anything like that?
Bill Way: The next step will be to delineate the rest of the acreage. We’re focused on that. The infrastructure we need both from the gathering side and the long haul transportation side is not an issue. These are - it's an area that - of where we operate. And so we're really just trying to think about strategic execution, go out and figure out how much of the aerial extent this is and then go back and try to figure out, is there any other optimization we need to do and then go into development drilling. The cost, well costs, we’re drilling them ourselves, complete them ourselves. So we're pretty good at that. The water handling issue, we're accomplishing by staying away from the water and we've got some optimization going on in the Fayetteville even around water handling and trying to reduce traffic and optimize the distribution of that. So I think that's where we are.
Biju Perincheril: Okay, thanks and then in the Fayetteville well, I think you were also testing some higher intensity completions with shorter stage lengths. And any update from that program?
Jack Bergeron: We have - this is Jack. We have same incremental results there. Not as quite as substantial as we have in northeast. But yes, we are still seeing improvement there. And there we have our own sand mine. So sand is relatively inexpensive we are going to continue to do that, but it hasn't been a substantial. It has been good in the Moorefield. So those are things we are going to continue to experiment with.
Biju Perincheril: Okay. Thank you.
Operator: Our next question comes from the line of David Tameron with Wells Fargo. Please proceed with your question.
David Tameron: Hi. Good morning and congrats on a good year actually, just not the last quarter, but you guys did a great job of last year. If I just - equitable, one of your competitors will say equitable mentioned on their conference calls they're hearing tightness in frac crews down in the basin. Can you guys talk about what you're seeing, if anything and just how the frac situation is looking right now?
Bill Way: So I think obviously with the increased activity in oil in certain parts of the country, along with how distressed the group, the activity got, there is tightness in there. We have mitigated that to a degree with our own frac fleets being restarted. We’ve mitigated that to a degree with how we contract and our willingness to contract at a long - for a longer period of time, because of the confidence we have in our plan and the confidence we have in our acreage. And I think having a number of folks do that for us is also helpful. We’ve seen frac fleet supposed to be here on a certain day and it gets turdy because it’s somewhere else. But we just plan and manage around that. So there is cost pressure. Everybody knows that. our cost pressure exists as well and we just, we believe that working together with these frac suppliers, having that strategic relationship and looking at how we commercially negotiate deals with them and how we work for the longer term is paying off for us.
David Tameron: All right, thanks. And then one final one, just kind of random. A couple of years ago if I remember right, you guys were maybe looking at or testing some Rogersville shale. One, is that accurate? And two, whatever happened with that? Is that acreage still on your books or anything you can say along those lines?
Bill Way: What I'd say on - and there's a number of different plays we have about where we - over the last few years may have tested them here or tested them there. Two points on that. In our focus on returns and returns now and building long term shareholder value, we are - they would not be prioritized in the core capital program, at least right now. I think there is certainly, as we build momentum, then from last year into this year and next, opportunities for those come to pass. and then the second piece of it, which is probably more important here is that as we go and look at any acreage we have and drill a well to try to see what we can do in tests, we won't bring those to the table and talk about them until we get a program that we understand works. We’ve got 3.5 million acres of exploration plays scattered all over the place, some of which we can touch, some of which we really can't. And so as we kind of work through that and work around our own assets, I mean you look at our sort of focus with a lot of our exploration staff, get in and really open up our thinking around our assets, other ventures, other concepts of how we produce. And as we get work through those, we'll bring those to the table because - but what I don't want to do is we get a one off well here, a one off well there and begin to sort of watch single wells. The story for this company is much grander and we look at it like that. So it's all about upgrading the returns and making the portfolio as resilient as it can be to different commodity prices.
David Tameron: Okay. I appreciate that. Thanks.
Operator: Thank you. Ladies and gentlemen, we have reached the end of our allotted time for questions. I’d like to turn the call - the floor back over to Mr. Way for closing comments.
Bill Way: Well, I want to thank everybody right off the bat and I'll do it again later, for being here. As you heard today in this call, we’ve boldly moved ahead building on the momentum that we created last year and we work every day to demonstrate our commitment to delivering the full potential of our premier assets as we grow shareholder value in the company. the early results on Southwest Appalachia enhanced completions, looking good to improve margins, promising results on our first Utica well, getting us excited about the vast resource there, the Northeast Appalachian delineation and testing activities that have gone on that are yielding incredible results and strong learnings, which as a learning organization, we're passing around as rapidly as we can to be applied across the company. And early results on Moorefield potentially adding inventory to the company and our capital allocation flexibility and our ability to continue to work down our debt, along with other exciting news, we're confident about the progress we're making now and going forward. We’ve rebuilt the company to excel in a prolonged lower commodity price environment and this was demonstrated with our strong first quarter operational results and we expect to make additional strides to create even more value moving forward. Combining our operational excellence, capital discipline with strengthening macro picture, we're positioned for very exciting times ahead. And I want to thank the staff. I want to thank you all for taking interest in our company, but really thank the staff across the country for the efforts that they’ve put in and the results that they have generated. And with that, we'll sign off. Hope you all have a great weekend. Talk soon.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time and have a wonderful day.